Operator: Good morning, ladies and gentlemen, and welcome to the Stingray Group Inc. Q3 2024 Results Conference Call. [Operator Instructions] Also note that the call is being recorded on Wednesday, February 7, 2024. And now I would like to turn the conference over to Mathieu Peloquin. Please go ahead.
Mathieu Peloquin: [Foreign Language] Good morning, everyone, and thank you for joining us for Stingray's conference call for its third quarter results for fiscal 2024 ended December 31, 2023. Today, Eric Boyko, President, CEO and Co-Founder; as well as Jean-Pierre Trahan, CFO, will be presenting Stingray's operational and financial highlights. Our press release reporting Stingray's third quarter results for fiscal 2024 was issued yesterday after the market closed. Our press release, MD&A and financial statements for the quarter are available on our investor website at stingray.com as well on SEDAR. I will now provide you with the customary caution that today's discussion of the corporation's performance and its future prospects may include forward-looking statements. The corporation's future operation and performance are subject to risks and uncertainties, and actual results may differ materially. These risks and uncertainties include, but are not limited to, the risk factors identified in Stingray's annual information form dated June 6, 2023, which is available on SEDAR. The corporation specifically disclaims any intention or obligation to update these forward-looking statements, whether as a result of new information, future events or otherwise except as may be required by applicable law. Accordingly, you're advised not to place undue reliance on such forward-looking statements. Please be reminded that some of the financial measures discussed over the course of this conference call are non-IFRS. Please refer to Stingray's MD&A for complete definition and reconciliation of such measures to IFRS financial measures. Finally, let me remind you that all amounts on this call are expressed in Canadian dollars unless otherwise indicated. With that, let me turn the call over to Eric.
Eric Boyko: [Foreign Language] Good morning, everyone, and welcome to our third quarter conference call for fiscal 2024. Stingray delivered exceptional and historical third quarter results, surpassing $100 million in revenues mark for the first time in the company's existence while generating adjusted EBITDA of $38.6 million and adjusted free cash flow of $32.7 million. This outstanding operating performance was driven by organic growth of 23.9% year-over-year in Broadcast and recurring Commercial Music revenues, including a combined 84% increase in Retail Media and FAST channel advertising revenues. We are trailblazers in the retail media advertising industry, providing large retailers with a technology platform that carries customizable ads across the digital network every few minutes to fully monetize the presence of in-store consumers. The response of the U.S. market has been remarkable with overall Stingray revenues growing 39.7%, south of the border in third quarter, and 21.4% after 9 months into the fiscal year. Overall, Canada accounted for 51% of sales in the third quarter, followed by the U.S. at 37% and other countries at 12%. Going forward, we believe there's plenty of room for revenue growth, particularly in the vast U.S. market. On the FAST channel side, we nearly doubled listening hours sequentially to 29 million hours through the integration of 18 new Stingray channels on Samsung TV Plus in the U.S. We estimate that our current run rate of hours is now at 40 million hours per quarter. The introduction of audio channel marks a major milestone and a pivot from traditional cable distribution to OTT  platforms like connected TVs. We believe digital platforms will continue to certainly grow for the years to come. Turning to in-car entertainment. The initial deployment of Stingray Karaoke in 300,000 cars in BYD, the biggest EV car manufacturer in the world, is steadily progressing, and we further extended our partnership with the world's leading manufacturer of new energy vehicles through the launch of Calm Radio in models across dozens of countries. This latest agreement is highly significant because it diversifies our automobile product offering into a wellness space to enhance the driver's journey while highlighting our emerging relevance in global in-car entertainment landscape. As for the SVOD segment, subscription reached more than [indiscernible] 10,000 in the third quarter under strength of licenseship with Amazon and Singing Machine Company, connecting more electronic device worldwide. Equally important, our strategic decision to reduce investment in B2C while prioritizing B2B partners has improved the bottom line for Stingray's SVOD business for fiscal 2024. Altogether, revenues from Broadcasting and Commercial Music business  increased 21% to $65.6 million in the third quarter of 2024 while Radio revenues are stable year-over-year at $34.6 million, as we continue capturing share in local markets through our direct sales force. Given the sustained robust financial result, we are confident that Stingray will generate strong growth revenue in fiscal 2025 with a similar margin profile. From a balance sheet standpoint, I'm pleased to report our net debt to pro forma adjusted EBITDA ratio improved to 2.99x, so below 3x in the third quarter, as we accelerate the repayment of our credit facility. We are well ahead of our plan and expect to further decrease our debt in Q4. In summary, all key performance indicators are pointing in the right direction. I will now turn to our CFO, Jean-Pierre, for the financial overview.
Jean-Pierre Trahan: [Foreign Language], Eric. Good morning, everyone. Revenues reached $100.3 million in the third quarter of fiscal 2024, up 12.4% from $89.2 million in Q3 '23. The increase was largely due to growth in Retail Media advertising and FAST channel advertising revenues. Revenues in Canada improved 3.1% to $51 million in the third quarter of '24 due to the strength of Retail Media advertising. Revenues in United States grew 39.7% year-over-year to $37.1 million in '24, again reflecting stronger Retail Media advertising and FAST channel revenues. Revenues in other countries decreased 7.8% to $12.2 million in the most recent quarter. The year-over-year decline was caused by lower audio channel revenues as well as the less in-store commercial revenues. These factors were partially offset by a positive foreign exchange impact. Broadcasting and Commercial Music revenues increased 21.2% to $65.6 million in the third quarter '24. The growth was primarily driven by higher Retail Media advertising and FAST channel revenues. Radio revenues, meanwhile, decreased 1.3% to $34.6 million in Q3 as local and national agency airtime advertising dropped year-over-year, partially offset by an increase in local direct advertising revenues. In terms of profitability, consolidated adjusted EBITDA improved 12.2% to $38.6 million in third quarter from $34.5 million in Q3 last year. Adjusted EBITDA margin reached 38.5% in Q3 '24 compared to 38.6% in the same period in '23. The growth in adjusted EBITDA was mainly due to higher revenues. The decrease in EBITDA margin is due to decrease in adjusted EBITDA in the Radio segment. By business segment, Broadcasting and Commercial Music adjusted EBITDA increased 23.6% to $27.9 million in the third quarter of '24. The year-over-year increase can be attributed to an improved gross margin and higher revenues. Adjusted EBITDA for our Radio segment decreased 7.1% year-over-year to $12.3 million in the third quarter of '24. The decrease was primarily due to a slight revenue decline combined with higher regulatory fees. In term of corporate adjusted EBITDA, it amounted to a negative $1.6 million in the quarter due to higher compensation compared to the corresponding period. Stingray reported net income of $9.1 million or $0.13 per diluted share in the third quarter of '24 compared to $12.9 million or $0.19 per diluted share in Q3 '23. The decrease was mainly driven by an unrealized loss on derivative financial instrument and loss on deferred share unit expenses related to a share price increase. These factors were partially offset by higher operating results and lower income taxes. Adjusted net income reached $18.5 million or $0.27 per diluted share in Q3 '24 compared to $16.5 million or $0.24 per diluted share in the same period of '23. The increase can mainly be attributed to higher operating results, partially offset by a greater loss of foreign exchange compared to our -- to the third quarter of '23. Turning to liquidity and capital resources. Cash flow generated from operating activities totaled $30.9 million in Q3 '24 compared to $24.6 million in Q3 '23. The year-over-year improvement was mainly due to the nonrecurring recovery of income tax from Radio and higher operating results, partially offset by a greater negative net change on noncash operating items. Adjusted free cash flow amounted to $32.7 million in Q3 '24 compared to $18.1 million in the same period in '23. The increase was mainly related to the nonrecurring recovery of income taxes from the Radio segment and the better operating results. From a balance sheet standpoint, Stingray had cash and cash equivalent of $7 million at the end of the third quarter, subordinated debt of $25.6 million and a credit facilities of $362.9 million on which approximately $61 million was available. Total net debt at the quarter end stood at $381.5 million, down $9 million from the last quarter, as we intensified payment on our credit facilities. Combined with increased adjusted EBITDA over the last 12 months, our net debt-pro forma adjusted EBITDA ratio dropped to 2.99x at the end of the third quarter. As Eric mentioned earlier, we intend to bring it down further in the upcoming quarters. It represents a key priority for the management team in this higher interest rate environment. Finally, we repurchased 372 sic [ 372,400 ] shares in the third quarter of '24 or $1.9 million compared to 341,000 share for $1.4 million in the third quarter of '23. This ends my presentation, and I will now turn the call back to Eric.
Eric Boyko: Okay. Thank you, JP. Thank you for the summary. And happy to take the calls from our friends, the analysts. So passing it over back to you guys.
Operator: [Operator Instructions] And your first question will be from Adam Shine at National Bank Financial.
Adam Shine: Eric, can you talk about some of the categories in advertising that might be helping to drive some of that jump in Retail Media or any other factors driving the increased momentum? And then also maybe talk about some of the early trend in your Q4 related to Retail Media.
Eric Boyko: Good question. So our Retail -- our advertising sales are growing by Retail Media and also by the FAST channels of connected TVs. So for sure, we're expanding our footprint, and the footprint helps us have more inventory. We're increasing our fill rate. And for us, the biggest categories, for sure, is the pharma market. Anything related to vaccines, we're very strong in the pharmacies in the U.S. and in Canada. So we see that trend going forward. But most impressive is our success with the connected TVs. Our run rate is now at 40 million hours that we expect per quarter. Roughly, we sell about $0.30 of advertising per hour and CAD 0.15 net. So you've got a run rate there. We report net revenues of $6 million. So last year, we did $4 million. This year, we're doing $12 million, and next year, our run rate is anywhere close to $24 million. So we're very excited about the connected TVs also.
Adam Shine: Okay. And the expanded bank mandate that you announced back, I think, in the fall was not in Q3. Can you talk about how it might be ramping in Q4 and into your fiscal '25?
Eric Boyko: Yes. So good -- we're really focusing on music and digital signage in banks. It's a big vector for us. We're strong in Mexico. We're strong in Latin America, and now, we're focusing in North America. So I agree that contract that we have with our friends at BMO is starting in January. So we'll see the numbers picking up. And it's a 5-year deal, so very happy to be involved in all the branches across North America. That's over 2,000 branches. So we're happy to have new partners and also working hard to -- with National Bank.
Adam Shine: Okay. Last question, it was noted that the regulatory fees were moving up in Radio, hence, the margin contraction. Is there any potential offsets that you might explore to try and mitigate some of that impact?
Eric Boyko: Yes. We got it. As it is in music, you get -- with the new NAFTA agreement that was negotiated between Canada and the U.S., our fees for Re:Sound increased by $1.2 million. So it is what it is. We can't really go against the agreement between NAFTA and Canada. But the good news is every unit is doing well. And even Radio right now, like I said before, we're very strong in local sales. I think some of our bigger players that are more involved in TV have less focus on radio. So it's giving us an edge to gain market share in every local region. And even this quarter, we're seeing positive organic sales from Radio. So -- and we're getting closer and closer to 2020, which was the pre-COVID. So interesting to see how we're winning on the local side on Radio. But there's no way to offset $1.2 million of rights fees. No, that's it. Sometimes you win, sometimes you lose. But in this case, it was decided.
Operator: Next question will be from Aravinda Galappatthige at Canaccord Genuity.
Aravinda Galappatthige: Congrats on the results. In terms of the strength in Retail Media, just going back to that, can you just break it down in terms of sort of agency and direct? I know that you're getting some traction on that front as well. And specifically in the U.S., I mean, maybe just talk to some of the trends that you're seeing as sort of the macro backdrop seems to improve there.
Eric Boyko: Our biggest issue for us is not -- it's -- we have a lot of inventory that we have available. So our fill rate is still for us to improve. It's really a mix between direct and agencies. I must say it's a work in progress. But again, we need to eventualize the market. People are used to TV, connected TVs, radio, but they're not used to in-store media. So it's something that we'll have to work for a period of time. But for sure, when you start from a small number, your gains are very strong. So I -- we expect the numbers to -- again, we're increasing our inventory, we're increasing our footprint and we're increasing our fill rate. So a lot of upside, and this is for years to come. So it's not a 1-quarter project. It's for years of work for us to achieve and to sell the inventory and eventualize the market.
Aravinda Galappatthige: Understood. And then on the in-car segment, I think you've alluded to sort of the 300,000 starting point for BYD. Can you just clarify how that ramps up? Is 3,000 sort of -- so we kind of work out the economics from 300,000 at the starting point? Or is that sort of a year-end exit point? I just -- I wasn't clear on that. I was wondering if you can clarify.
Eric Boyko: It's a good question. So for us, interesting. So BYD is our fourth car deal. They manufacture 4 million cars a year, but they manufacture in China, they manufacture in many countries. So we're -- in all the -- our product are mostly available in countries that we have licensed product. So it's difficult for us, even for us now, to know how many cars we're going to be in as, for example, we're not in China right now for many reasons, in terms of rights for music. So it's going to be something that we'll have to see quarter-by-quarter. So sorry not to be able to give you more details. But it's really -- it's going to be interesting how BYD succeeds and how BYD succeeds. And right now, we're in Israel with them. We're in Uzbekistan, Thailand, Singapore and Latin America. So it's going to be interesting how they win all those markets. But for now, I must say we're -- it's all new countries for us. So it's a bit of a -- we're also watching their success of their expansion.
Aravinda Galappatthige: Okay. Great. Last question on the subscription revenues within BCM segment. I mean it continues to be stable, obviously, despite your legacy television component. Any kind of color on that? I mean is it sort of the other segments that are kind of offsetting that? Or are you seeing some kind of stability there? As we kind of look to model that out, I was wondering if there's any commentary that you can share.
Eric Boyko: No, good point. So for sure, we're gaining a lot with our friends at Amazon. We're launching in -- I think Amazon will launch in 10 to 12 new countries. So that's exciting. Singing Machine is doing very well with the karaoke machine. But on the opposite side, some of our cable SVOD, as cable companies lose customers, we also -- we get less subscription. So it's going to be a nice growth, but it's going to be a bit of a pivot until we pivot from the cable industry more to Amazon and over-the-top. And also, that we reduced -- and you can see in the OpEx, certainly, our investment in B2C post-COVID because the market was changing. So we're also seeing less subscribers on B2C, but again, more profit for us, more EBITDA because our focus is more on B2B partnership.
Operator: Next question will be from Drew McReynolds at RBC.
Drew McReynolds: Just a couple of follow-ups here on Aravinda's question. Just -- Eric, on the pivot from kind of B2C to B2B and SVOD, obviously, that's been ongoing for a while now. Where are you on kind of that journey? Are you kind of close to sort of migrating most of what you want to do? Or is this kind of a longer tail?
Eric Boyko: No, good question. I think we -- for sure, on the B2C side, when you stop user acquisition like we did, because there was no more return on investment, and we're seeing all our competitors, because we get to see a lot of our competitors, they're all having a hard time on the B2C front. So it was the right decision. So the B2C revenues are down closer to $15 million right now, and that's decreasing by about 15% to 20%, so $15 million out of $360 million of sales. But again, we got part of the B2C that's decreasing. And then in that unit, we've got Singing Machine, which is our partner, and that one is increasing by 30% to 40%. So I would say stable, stable for the next few quarters. The offset of Singing Machine with the downsize of the user acquisition on our friends from Apples.
Drew McReynolds: Okay. Okay. No, that's very helpful. On the connected car, I think last quarter, you alluded to 3 or 4 kind of offerings that you have, like the Karaoke, the music, I think Trivia, obviously, Calm now. What's the plan to expand that? Or is that kind of what you see as kind of the core offering, at least in the near term?
Eric Boyko: So interesting, right now, for the car, we're -- I think we said it to the Board. We're, by far, the #1 B2B sales team in the world at CES. We met with every car company. When I say every, from Honda to Hyundai to every European car to Ford, GM, we're really engaged in a lot of different models. And our 4 key products is Karaoke music, Stingray Music, Calm Radio and Trivia. And we're really focused on the audio segment. So for now, most of the tuning is done while driving 99% and you can't watch a video while driving a car. So we have the advantage of being the #1 key partner for audio in cars. Interesting, a lot of different models. The first model is the CPS model. We have the advertising model. There's also a transactional model. I must say that the car business is -- it is the holy grail of distribution. And it's going to be interesting how the -- all the car companies pivot over the next few years. The good news is we're in talks with every one of them, so very excited about our penetration with this market. But this is a long-term play. The OEMs, when they plan, they plan 2026 to 2038. So it's not something that we'll get free cash flow like we get on the TV business in 1 month. So it's a long-term plan. But for investors, it makes us very sticky. And we're even planning right now, believe it or not, to do Karaoke microphones in every car in the world. So when you buy your EV car, you're going to get a microphone to sing Karaoke. I know it sounds a bit -- but it's -- there's a big demand from every car manufacturer to include our mics, so interesting.
Drew McReynolds: Yes. I mean, that would certainly be interesting in my car, I can tell you that. So 2 follow-ups here. First -- sorry, I may have missed this in JP's opening remarks. Just in terms of free cash flow priorities, presumably, it is just debt repayment. Is that -- and then the second question, are you able to maybe narrow in the strong "revenue growth" for fiscal 2025? Like what kind of characterization is strong, in terms of single digit, double digit, low, mid, high? That kind of granularity would be helpful.
Eric Boyko: Yes. And thanks for the question. So regarding free cash flow, as you can see, we've -- it's pretty -- we had an incredible quarter of $32 million. $4 million of that was a tax refund. So -- but still, our ability to generate free cash flow from EBITDA is strong. Our CapEx are lower. We expect CapEx to stay low. We're at 2.99. Right now, we've already -- in this quarter, in the first 5 weeks, we paid $50 million of debt. So today, we're heading at 2.86. I think we'll be below 2.8. And I think we'll be -- our goal is to be between 2.2 and 2.5. So we'll be below 2.5 in the next few quarters. So our new EBITDA is really generating high cash flow, and the Connected TV business is, again, high-cash flow business with very low OpEx or almost 0 OpEx and 0 CapEx. So that's good. And in terms of -- no, we expect to have a double-digit or, in English, we say, high teens. So we expect to have double-digit growth for the next -- for this year and for next year based on the current agreement in place. Even if a lot of it is advertising, it is pretty much recurring. So we pretty much have -- we added $4 million of incremental EBITDA this quarter, and that $4 million is pretty much recurring. So let's see how -- unless something major happens in the market, right now, the management team feels very good.
Drew McReynolds: Okay. Just -- sorry, Eric, just to clarify that last point. So in terms of your commentary in the press release on strong revenue growth for fiscal 2025 consolidated, that's what you're referring to in terms of double digit.
Eric Boyko: For me, again, high teens. I don't want to say -- like high teens. But again, this for the Broadcasting and the Commercial Music. Radio, for us, we expect Radio to be stable to plus 2%. So Radio, very stable, green, and Broadcasting and Commercial, high teens.
Operator: Next question will be from Jerome Dubreuil at Desjardins.
Jerome Dubreuil: Just on the Retail media to start, I'm wondering about the sustainability of the growth. Obviously, very strong quarter and congrats for the big $100 million milestone. Just wondering what's been the source of success in the quarter? Is it the Mood partnership, the more efficient sales force? And do you feel this is an inflection point in terms of growth or maybe something that you see being sustained? Obviously, probably not going to model 80%-plus growth in the next few quarters, but if you can provide color on this, please.
Eric Boyko: Yes, Jerome, a good question. So for sure, it was an incredible quarter. So no, I would not model 86%. We're -- I think that we can expect -- again, I was -- into the market 40% growth. So I think we're still optimistic about that. The big component that's a big surprise for us is our success with the audio channels on the connected TVs. So last year, we did 13 million hours in January, February, March in Q4. And this year, we expect to do 40 million. So the FAST channels or connect TVs, those are growing by 300%. And like I mentioned before, we did 4 million last year. We're going to do 12 million this year and next year, we'll do 24 million to 28 million. So that part is really -- is recurring. And so that's growing by 300%. So -- and we got a lot more partners to launch. So we're very excited about the connected TVs. And the free cash flow coming from that product is extremely high. So I don't want to say too much, but I'm saying it's just going to be a cash flow machine for the years to come. And Samsung announced in December that their connected TVs revenues were up 65%. So we're dealing with a market that is growing the opposite of the cable industry. So it's going to be -- and it's going to grow for the next multiple years. So interesting to be on that platform. So both, combined, makes us a very large growth, but I think 80% is too high and closer to 40%.
Jerome Dubreuil: That's great. Just on your comments on leverage, you said your goal is to be between 2 and 2.5. Correct me if I'm wrong, but I think maybe last time you provided an update on that in terms of longer-term goal was to be closer to 2.5 to 3. Is that a kind of change in priority and deleveraging targets? Or maybe I did not remember correctly.
Eric Boyko: No. No. For us, what changed like for every entrepreneur, for every business is the cost of capital. Interest rate, when interest rate were at 1% to 1.5%, we're happy to 2.5 to 3. With interest rate now close to 6.5%, I think where we want to be between 2 and 2.5. We see positive sign of decreasing interest. The good news is we're able to deduct it from income tax. So that's the good news. But I think for us, a good target will be around 2.5, and I think that we'll achieve in the next few quarters. 2.5, I think, is a good number. And depending on what interest rates do. If interest rates go lower, then we could be more aggressive. But we're -- I think in terms of capital structure, we're very happy. And I think we're able to show our deleveraging.
Jerome Dubreuil: That's great. And last one for me. Just in terms of the next quarter, particularly it would be seasonally low. But meanwhile, your business is changing rapidly. So seasonally -- seasonality changing a bit with the revenue mix evolving, just thinking of how we should think about next quarter.
Eric Boyko: Yes. So for us, on the Broadcasting and Commercial Music side, again, a strong quarter with high double digits or high teens. So very, very comfortable. Radio, for sure, Q4 or January, February, March is the smallest quarter of the year. So it is seasonal. So you can see the trends over the last -- since we've owned Radio. So -- but again, Broadcasting strong, Radio, again, strong, good organic but a low season for Radio.
Operator: Next question will be from Scott Fletcher at CIBC.
Scott Fletcher: I wanted to again ask on the connected TV. It sounds like the growth there into next year is expected to be pretty significant. Can you break down where that growth is coming from? Is it mostly new partners? Is it growth in hours? Like can you -- is it possible for you to sort of disaggregate where that strong growth is going to come from on the connected TV?
Eric Boyko: Yes. So for now, I must say, we're very strong with the TV manufacturers. Now we just finished -- we did a tour in -- of Asia tour. We did Korea, Japan and China in October. And I must say from Samsung to LG to Vizio, all the different manufacturers around the world, Sony, so we're in every one of them. And I think our big bet was to tell them that we feel that the audio channels, like we have on Pay-TV, is a big success. And I think now -- and they're TV manufacturers, so they always told us, "Oh, we want video, we don't want audio." But we were able to convince Samsung and LG, and the success is outstanding. So I think every TV manufacturer in the world, I think Roku, Pluto, all of these connected TVs, will take our audio channels and our music products. So we're very excited about the future of that trend for the next -- for years to come.
Scott Fletcher: Okay. And then I -- this may be looking a little bit too far out, but it does seem like you're going to pretty comfortably get below those leverage targets, at least by the end of next year. Like looking out, do you have a sense of what the capital allocation priorities are after you do sort of get the debt below your target range?
Eric Boyko: Sorry, a bit of a dry of cough. Yes, good question. So yes, we're getting to a point, I must say that -- very good question, that we had a good discussion with the Board yesterday because we feel with our free cash flow coming the next few quarters, we're going to be very close to below 2.5 and even looking to be -- if things are good, even closer to 2. So there'll be a good discussion to have and even -- I guess, we'll be calling you guys. We'll be calling our analysts about what's the best capital allocation. In terms of acquisition, it's still -- even if the market has gone a bit -- interest rates are higher, a lot of companies are asking for high valuation. So we have to sit and wait, and we have strong organic sales. So it's going to be a good debate for our June meeting, what do we do with our capital allocation, meaning more in CID, more debt repayment or maybe even looking at dividends. So it's good to be in a position to be able to ask ourselves that question.
Operator: [Operator Instructions] And your next question is from Tim Casey at BMO.
Tim Casey: Eric, could you clarify your comment on strong revenue growth and stable margins in fiscal '25? What -- are you talking about -- can you just give us some clarity and maybe quantify what kind of margin range you're talking about? And the other question I had was just -- you've invested a little bit more in the Singing Machine. Can you just add some color around that? Is that -- how big is that entity? Do you have a path to control? Do you want to control it? Or is that just a joint venture partner?
Eric Boyko: Tim, thank you very much. Both good questions. So -- yes, so we're -- in terms of growth, we expect to have, again, high teens or double digit for next year. A lot of our contracts are Samsung, and some of our deals only started in December. So we'll get their upswing for the next 12 months. Our deal with the banks is also starting in January. So we're going to get the upswing for the next 12 months. So we're in a very good position. So happy about that. And I must say that on the new business, this year, we estimate we're adding about $25 million in Broadcasting that generated $16 million in new EBITDA. So our new EBITDA, our new sales are generating almost 60% EBITDA margin. So it's interesting to see how this moves along. But for sure, the connected TVs, the Retail media and the -- all of the new business we're doing is high EBITDA margin. So very excited for 2025. And also the other news is our OpEx are under control, as you can see. So we're able to have high growth without building a new factory or without having to hire like hundreds of employees. Singing Machine, very good question. Yes, Singing Machine is purely a joint venture. They're the largest manufacturer of karaoke machines in the world. I must say they do great products. We're the software provider. The new Wi-Fi machine is very strong. And for us, it's a strong partnership where we can't say on details, but we make a lot of money or a lot of revenues from the licensing of Karaoke. But it is purely a joint venture. There's no intention for us to be in the manufacturing business. And also, it's good example, the microphones that we spoke in -- for Honda and for BYD and Tesla, every car manufacturer wants the microphone. It will be Singing Machine building the microphone. It won't be us. We're really a music licensing distributor, and so we're happy to have them as a key partner.
Tim Casey: Can we go back to the margin question? What kind of margins are you thinking about for '25 would you be comfortable with on a consolidated basis?
Eric Boyko: Yes. The consolidated, it's always to know with -- but on the Broadcasting and -- revenue, for sure, above 40%. The margin will just increase with these new categories. The Radio business, we see very stable whatever margins we're having right now. For sure, we had a little setback from Re:Sound that affected our margins. But Radio, we feel to be very stable for the next few years, and Broadcasting, above 40%. And we see that our EBITDA margin increasing slightly but improving, not by -- by improving by 1% or 2% every year based on our model. So we're in a good position. So very happy about our EBITDA margins and the growth.
Operator: And at this time, we have no other questions registered. Please proceed.
Eric Boyko: All right. Thank you again. Thank you for all the analysts for your time and your commitment towards public companies. I think it's important to have this ecosystem. So we appreciate your questions and your attention, and hopefully, we can have a few more good quarters like this and spend time together. [Foreign Language] Have a great week.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending, and at this time, we do ask that you please disconnect your lines. Enjoy the rest of your day.